Operator: Good morning. My name is Chris, and I will be your conference operator today. At this time, I would like to welcome everyone to the GoDaddy Q2 2019 Earnings Conference Call. [Operator Instructions]. Thank you. Sam Kemp, Vice President of Investor Relations and Strategy, you may begin your conference.
Samuel Kemp: Good afternoon, and welcome to GoDaddy's Second Quarter 2019 Earnings Conference Call. With me today are Scott Wagner, Chief Executive Officer; Ray Winborne, Chief Financial Officer; and Aman Bhutani, who is joining GoDaddy as our next Chief Executive Officer. Scott, Aman and Ray will share some prepared remarks, and then we'll open up the call for questions. Given that Aman will not be starting as CEO until September 4, Scott and Ray will be answering all questions related to strategy, operations and financials. On today's call, we'll be referencing both GAAP and non-GAAP financial results and operating metrics such as total bookings, unlevered free cash flow, net debt and ARPU. A discussion of why we use non-GAAP financial measures and reconciliations of our non-GAAP financial measures to their GAAP equivalents may be found in the presentation posted to our Investor Relations website at investors.godaddy.net or on our Form 8-K filed with the SEC with today's earnings release. Unless otherwise stated, when we refer to organic measures, we're referring to those measures excluding the impact of Main Street Hub. The matters we'll be discussing today include forward-looking statements, which include those related to our future financial results, product introductions and innovations and our ability to execute our leadership transition announced earlier today.  Any forward-looking statements we make on this call are subject to risks and uncertainties that are discussed in details in our second quarter 10-Q are based on assumptions as of today August 1, 2019, and may differ materially from actual results. We undertake no obligation to update these statements as a result of new information or future events. With that, here's Scott.
Scott Wagner: Thanks, Sam. Thanks to everyone for joining us today. As we announced this afternoon, I've been facing health challenges that, after talking with my family and GoDaddy's Board of Directors, require me to make a change in pace and to focus on my health. This was a really, really tough decision for me, but unfortunately, I know I can't maintain the same 110% level of energy, drive, commitment that had GoDaddy first for me for the past 7-plus years and most importantly, what GoDaddy's customers, employees and shareholders deserve going forward. The Board and I have worked methodically to identify a tremendous successor and to lay the groundwork for a smooth transition. I'm honored to introduce everyone to GoDaddy's next CEO, Aman Bhutani.  Aman brings a wealth of experience to GoDaddy. Extraordinary track record in growing a scaled business, deep expertise in product and engineering and consistently strong delivery at scale across both go-to-market and customer conversion. Aman is an exceptional leader and has created strong followings in every organization he's led. Aman is going to fit in great with GoDaddy's culture and our values and bring skills, mindset and experience to lead the company into the future. For the past four years, Aman has been President of Brand Expedia Group leading the Expedia Orbitz, Travelocity, eBookers and Wotif brands. He's built up Expedia's advertising and insurance businesses and has led multiple product and technology teams that serve the entire company. He's highly successful in many areas that are analogous to what we're focused on here at GoDaddy, and he's highly complementary to our existing senior leadership team.  So with that, here's Aman to say hello to everyone. Aman?
Amanpal Bhutani: Thanks, Scott, and hello to everyone on the call. I look forward to meeting many of you in person soon. I am excited to be here and to have the opportunity to serve GoDaddy's mission, our customer and our employee. GoDaddy stands for the empowerment of the everyday entrepreneur. This is so much more than a brand moniker. It is the philosophical thread that runs throughout the organization from the dynamic progress of what our teams have made, in applications and services, to the power of every one of our 6,000 GoDaddy Guides. I love the spirit of bringing humanity to technology for businesses, nonprofits and all the ideas around the world.  GoDaddy has a really compelling business with a ton of opportunity. It's a great combination between product, go-to-market and a deep care for our customers. Leading GoDaddy into the future is an honor and a privilege.  So I'd like to say thank you to our customers, Scott and the GoDaddy leadership team, the 9,000-plus GoDaddy employees around the world, the Board of Directors and our shareholders for their trust as I take the helm.  Now I'll hand it back to Scott and Ray to review our second quarter.
Scott Wagner: Thanks, Aman. It's great to have you here, and I'm excited about the future of GoDaddy under your leadership. Ray and I are going to use the rest of our call for our regular quarterly update with 3 core topics. First, I'll share some of our product ecosystem highlights. Second, I'll cover some recent partnerships of notes. And finally, Ray will cover our financials.  We'll start with product highlights where we've done some fantastic things this quarter and are seeing ongoing strength with GoCentral and Managed WordPress continuing to drive unit growth above 40% on a substantial base as we gain share across the spectrum of site creators. Let me touch on a couple of our most exciting developments. First, we introduced a new GoCentral template interface that delivers unparalleled flexibility during the website building process. With this new interface, creators are able to visualize and rerender content and dozens of different layouts simultaneously. The reason this matters is that builders can experiment and adjust their site at any point in time during the create process even after they're done. This is a breakthrough feature that solves a major point for website creators around the world. GoDaddy is the only website builder in the market with this capability, and the market's response has been extremely positive. Second, GoCentral continues its evolution as a full-fledged marketing and publishing engine that helps customers thrive in a social and digital world. Following integrations with Facebook, Yelp and Google My Business, we've integrated with Instagram so customers can view activity and engagement in GoCentral's marketing dashboards. Our strategy of empowering customers to unify and optimize our online presence has mirrored our Online Store featuring integrations with Amazon, eBay, Etsy and Walmart.com enabling customers to sell products and manage orders, inventory and fulfillment all from one location.  Looking beyond GoCentral, we often get asked about the optionality that exists in partnerships. There's opportunity in both expanding our own products in the third-party ecosystems and bringing the best to GoDaddy customers through tightly integrated partnerships. We did both in the second quarter.  First, we deployed several GoDaddy products into various Amazon solutions, which include our ProTools, which are now available to higher-end WordPress developers using Amazon Lightsail in AWS; GoCentral and SmartLine, which are now available as free trials for Amazon's Business Prime members; and our domain platform, which is in the process of being integrated into AWS and will power AWS' new domain registration. Incidentally, this will make GoDaddy the domain technology provider for all of the major public cloud vendors.  Our second new partnership is with Kabbage, a leading online provider of realtime small business financing. Together, we'll be working to help our customers get access to financing solutions as they face cash flow needs throughout their life cycle. And third, we're expanding our partnership with PayPal customers who cannot only use PayPal as a checkout option but can also use the PayPal Commerce Platform for back-end processing of other funding sources such as credit cards.  These are individually great but what they're showing is that we're accelerating the development of our products into the broader ecosystem at large and are integrating other highly regarded companies' products with the big value propositions packed into the GoDaddy experience. All up, our product lineup is growing in both breadth and depth, and if you haven't poked around in our websites and marketing suite in the last 6 months, or even the last 2 weeks, you're missing out on all that we can do for our customers. As we double down on our product strength, invested behind our brand, honed our experience and scaled up of our conversational marketing efforts into our base, we are becoming increasingly sharp on how we acquire customers and more importantly, how we can do more with them to drive both better success and lifetime value.  We're particularly enthusiastic about the 40%-plus growth in GoCentral and Managed WordPress as we know the customers are more engaged with us, spend more over time and stay customers for longer. As I think about Aman coming in and his strength, I'm excited about his future contribution to evolving our product portfolio, expanding websites into marketing and content creation, creating elegant and commercially successful attachment and conversion flows across the GoDaddy experience and putting a scale global technology platform to work across brands.  With that, here's Ray to cover the financials. Ray?
Raymond Winborne: Thanks, Scott. We closed out the first half with strong execution on many fronts delivering currency neutral revenue growth of 15% and good trajectory on profitability. We're continuing to balance investments in a number of categories and gets the natural expansion in our business model with a focus on running a business that delivers sustainable top line growth and margin accretion.  Bookings grew to $846 million, rising 14% on a constant currency basis, another acceleration versus first quarter growth. Reported bookings growth was 12% reflecting about 170 basis points of currency headwinds driven by the strengthening U.S. dollars. At today's exchange rates, we expect the marginal bookings headwind in the second half of 2019. Revenue came in at $737 million, growing nearly 15% on a constant currency basis and over 13% on reported basis. Like-for-like revenue growth accelerated 100 basis points from Q1, which reflects strength across the board and in particular, in Presence applications and services.  Our key metrics remain strong reflecting goodness in both ARPU and customer growth. ARPU rose to $153, up 8% year-over-year, and our customer base grew more than 5% to $19 million adding 1 million net new customers in the past year. Let me touch briefly on the optics of our customer metric. We deliberately changed our price and merchandising tactics to optimize for lifetime value. At times, these tactics move customer churn events from period to period and even from year-to-year. This is happening in 2019 such that even with strong renewal rates, net adds are going to be in the 700,000 to 800,000 range for the full year, as is evident, our top line trajectory in Q2 and our revenue growth expectations for the second half. This is a matter of optics and not fundamental performance as our core strategy to maximize LTE is showing up in strong revenue and ARPU growth. Moving to cash flow. Unlevered free cash flow for the quarter up 8% to $168 million with year-to-date growth of 16%, and our trailing 12-month unlevered free cash flow margin expanded to 24%, 1 point higher versus a year ago. Looking into the second half of 2019, we'll continue investing behind our marketing and product efforts, but we'll see year-over-year OpEx growth rates moderate across the board. On the balance sheet, we finished Q2 with $1.2 billion cash and short-term investments. During the quarter, we issued $600 million of unsecured senior notes maturing in 2027 at a fixed rate of 5.25%, which were used to prepay a portion of our existing term loans. And we increased our revolver capacity to $600 million both to bring us more in line with similarly situated companies. Net-net, the impact of these transactions have a negligible impact on net interest expense. We diversified funding sources and extended the maturity profile of our debt.  With that, I'll turn to the outlook for the rest of 2019. We continue to expect full year revenue of $2.97 billion to $3 billion, implying full year growth of 12% to 13%. For the third quarter, we expect revenue of $755 million to $765 million, representing 11% to 13% growth versus the third quarter of 2018. For full year unlevered free cash flow, we expect to generate $730 million to $745 million, representing 1 point to 1.5 points of margin expansion versus 2018. And based on today's interest rates, we expect $80 million to $85 million of cash interest expense in 2019, building slightly faster growth in levered free cash flow. Before we turn it over to Q&A, I'd like to reflect on the incredible evolution of GoDaddy over the past 7 years including the quality and consistency of our business today and how we drive success for our customers. These positive outcomes are a direct result of Scott's strategic direction, good judgment, operating execution and just as importantly, his leadership. On behalf of all of GoDaddy, we thank you and wish the best for both you and your family. And a quick welcome to Aman. We're all excited for you to take the reins for the next leg of our journey. With that, operator, let's open up the call to questions.
Operator: [Operator Instructions]. Your first question comes from the line of Jason Helfstein with Oppenheimer.
Jason Helfstein: Just one kind of question and then a bigger picture question. And then just before I do that, Scott, it's been a terrific run and just you built a great company and leaving the company in a great place. So I want to echo those words.  So first question, given your comments about net adds and some of the optics, can you give us some comments may be what's happening in gross adds and to the extent you're seeing higher churn on the pricing increases, if there's something positive going on in gross adds? Not asking for you to give that metric now but maybe that's a metric that would be helpful as we're trying to measure marketing efficiency. And then the second, the constant question we have in the company is your plan for capital allocation. I mean you're on your way to effectively have no net leverage in the not-too-distant future. And so really, are you not seeing the right assets available for sale or valuations to high? And if either of the above, why not start buying back stock and just waiting for the right asset to come by?
Scott Wagner: Jason, it's Scott. First, thanks for the acknowledgment. I appreciate it. Hey, we're joined by Andrew Low Ah Kee here, our COO. And so on the first part of your question on the customer adds, I'm going to hand it off to Andrew who will give you color and we'll talk about capital allocation. Andrew?
Andrew Low Ah Kee: Sure thing. We regularly adjust our different domain offers. Just to put a little color towards this. Sometimes, we use a 1-offer. Sometimes, we use a 2-year offer. That has the effect of deferring customer churn events sometimes. Last year, our net adds, for example, were up over 50% year-over-year because of this effect. Our core pacing remains really healthy. Gross adds -- our Q2 cohort looks to be one of the best-performing ever, and we really haven't seen any impact from price. As Ray mentioned, retention rates are looking really strong.
Raymond Winborne: It's Ray. To comment on your question around capital allocation, that has not changed for us. The priorities are the same, and they are in the order of organic, M&A and then share repurchases last. We're going to be disciplined about M&A. We're looking for the right set. It's not just about price. It's got to be a good operational strategy and cultural fit.
Operator: Your next question comes from the line of Naved Khan with SunTrust.
Naved Khan: A couple of questions. Maybe on the gross margin, it went down a little bit. Is there anything to read into that and maybe the components have been driving it down? And the other question I have is on the international growth. It seems sequentially if I look at year-on-year growth for Q2 versus Q1. Is there just a function of how you deploy your marketing orders? Or is there more to it?
Raymond Winborne: It's Ray. I'll take the first and then I'll pass it to Andrew for international. Gross margin landed right within our expectations. While you're generally going to see natural accretion from the mix of products, there is variability from quarter-to-quarter based off of a variety of factors. We're managing our product and pricing strategy decisions to deliver incremental dollar growth and with good returns, irrespective of the margin percentage. And as I've mentioned to you guys on past calls, that mid-60s percentage is what you should be plugging into the models going forward.
Andrew Low Ah Kee: And then Naved, on international growth, it's exactly what you cited, which is around where we're our marginal marketing expense. It's what we talked about last quarter. As we built out the conversational marketing engine primarily focused in the U.S., we're seeing great return. We manage our spend globally, and so we're putting it against the highest return opportunities, which still continues to see a tremendous amount of opportunity across international, but frankly, we love the returns we're seeing in the U.S. right now.
Operator: Your next question comes from the line of Mark Grant with Goldman Sachs.
Mark Grant: Just hoping if you could give us a little bit of an update on what you're seeing around SmartLine and Main Street Hub. the partnership with AWS, obviously, is encouraging, and the free trial is available there from SmartLine. But have you see any changes in -- whether new customers coming in for new trials or any impact to the 31-day churn metric?
Scott Wagner: It's Scott. So SmartLine, first of all. So on SmartLine, we're still working through the value proposition on it. There's a huge need at the top of the funnel. And if you think about SmartLine right now, you have second line number in voice, and what we're really focusing on it's actually building it out in terms of messaging. And we think that, that is really the product need in the fulsome nature of -- and what customers need is a second number that's actually tied into the broader way that our customers have to reach and talk to their customers. And so we're spending our time and energy thinking not about just SmartLine as a voice service but particularly extending it into an integration messaging platform.  But when you just spend time watching our customers interact, this is a big, big opportunity, and so we're throwing our shoulder against it. On Main Street Hub, it's been a really nice shape. So at this point, we have one integrated team in business working through assisted, not only website creation, but maintenance and paid social media services so it's all one operation between websites and marketing. And we're seeing, frankly, great results as we integrate operations and particularly as we bring kind of this integrated value proposition to the GoDaddy base. So punchline is we've got top line growing nicely. We're starting to drive growth and now we're really focused on scaling. It's a nice shape.
Mark Grant: Scott, certainly all the best to you and your family going forward.
Scott Wagner: Thanks. I appreciate it.
Operator: Your next question comes from the line of Brent Thill with Jefferies.
Brent Thill: Scott, you got a lot of fans. Stay strong. I had a question for Aman. You have a very strong product background and I'm just curious if you could just give us your vision of this migration from the domain applications and how you see this. And I know it's early, but it seems like there's a lot of questions we get around the application side. And I have a quick follow-up for Ray at the end.
Amanpal Bhutani: This is Aman. It's not even day 1 for me yet. What I will tell you is when I look at the GoDaddy strategy, we're focusing on the conversion funnels, getting the marketing working well, increasing the product portfolio and then being able to run multiple brands on the strong technology platform, those blinking really well to my background. So I'll be excited to share more with you and everyone else as I get on board and learn more about the business. But going in, it seems like a good match for the expertise I bring to the table.
Brent Thill: Ray, on cash flow missed The Street by 10 %. It's definitely more back-end-loaded. Can you just talk through this? And I'm getting a number of questions from your investors. It's been three quarters. You got $500 million in the buyback. You haven't touched your share, stocks lag both indexes in the peer group. Just the question is what's the holding pattern for?
Raymond Winborne: Look at the top line. We've got good solid metrics in growth this quarter. On unlevered free cash flow, we're about 50% of the way towards our annual guide. So no concerns around cash flow. It's just timing of quarters against consensus. So I get no concerns there. As I mentioned earlier, the capital allocation priorities have not changed. We can continue to grow this organic -- this business organically. We are looking for M&A, but it's got to be the right fit and share repurchases will come into the picture, but it's in that order.
Operator: Your next question comes from the line of Sterling Auty with JPMorgan.
Sterling Auty: Let me also start, Scott. I mean hell of a job, not only as CFO but CEO and really advancing new culture and the progress of the company. Congratulations. Thoughts and prayers to you and the family. Moving back to the business. If I look at slightly slower growth in the customer additions, which was mentioned before, but the bookings coming in at the really nice level. You mentioned a couple of elements. I'd love for you to kind of rank order, where do you think you're kind of punching above your weight class in terms of getting the extra bookings per new customer coming out to the platform?
Scott Wagner: It's Scott. I think we're seeing a combination of things. One is slightly better attach, right, during the initial conversion flow and funnel. The second is back to this effort of conversational marketing into the base. We really do have now the science of what are each one of our customers doing, not only with GoDaddy's products, but others and where are they in their life cycle. And it's really honing in on, "Boy, how do we put the next thing in front of them at the right time?" And again, I think you're using the old baseball analogy, we're probably in the second inning of actually scaling up that capability. But as we make progress there, that shows up in ARPU, and it particularly shows up in some of the more advanced application products. Really, it's kind of those two things. And from a product category standpoint, it's showing up a little bit more in hosting and presence and further script comments 40% unit growth in GoCentral and Managed WordPress, obviously, those show up nicely and are probably the big areas of incremental growth.
Sterling Auty: Great. And then one follow-up question. You mentioned the partnership and AWS integration. If you go back all the way to the time of the IPOs, there was first concern about Google Domains and obviously, it had a great partnership with Microsoft, et cetera, I thought some of us said that this gives you all 3 major clouds integrated. Can you give us a sense of how much of the domain flow comes from the existing relationships that you had? And what might we expect as you add AWS in that equation?
Scott Wagner: Scott again. So across all of those partners, it's a small, small contribution. I mean the vast, vast majority right off of our Domains are GoDaddy proper. We're the marketplace for naming and frankly, it not going to change for a long time. This is more about just strong relationships with the ecosystem, and so it's obviously a great nod to our Domains team with a breadth of names that are carried plus the speed and sophistication frankly of our APIs that the other cloud providers are using our domain technology to power some, if not all, their Domains in their own cloud offering. But it's tiny relative to the P&L and honestly, it's not going to show up in our financials or our top line, but it's just a really important part of us being part of the broader ecosystem.
Operator: Your next question comes from the line of Matt Pfau with William Blair.
Matthew Pfau: Best wishes to you and your family, Scott. So I wanted to ask on the website products, it seems so nice growth there on both the WordPress and the GoCentral offerings. Maybe you could just give us a more detail on what's the driver there? You made a lot of functionality enhancements so I suspect that's part of it, but there's also been some changes from others in the market around pricing and other things. So just wondering what the bigger -- biggest factors there are in the continued strong growth.
Scott Wagner: First and foremost, there's, I'd say, feature functionality product quality richness that, really over the last year, has really amplified. And in terms of how that translates into business, really, the first thing is more awareness not only within the GoDaddy base but in the broader market. And again, that's something that's going to be a multiyear effort, but just awareness of the capability that we have is a big thing. And obviously, the second is better attach. Just working our flows that I'd say we're still in the early innings of it and have a lot of upside. Relative to those 2 products, price isn't driving any of the uptick. It's all quality attach.
Operator: Your next question comes from the line of Deepak Mathivanan with Barclays.
Deepak Mathivanan: Scott, I wanted to go out with comments. Great run. We, and I'm sure your investors, really appreciate your time at GoDaddy. Two questions from us. What is the payment period on this marketing spend any different than some other incremental expenditures before. Bookings growth is really strong, but curious if marketing is seeing -- you're seeing any marketing investments. And do we expect a period where this sort of normalizes over the next few quarters?  And then second question is on GoCentral. Can you provide some color on what geographies are kind of driving this growth. You never quantified but perhaps, could you give some color on size of growth of the GoCentral business currently?
Scott Wagner: It's Scott. First, thanks for the comment. I appreciate it. On the relative return of conversational marketing, we don't get into the specifics on individual components of our marketing channels. I think they really are complementary versus either completely different lanes. But again, you can't think about incremental spend going against the base, and we have return thresholds on it. And needless to say, everything we're doing is economically accretive and has really good return. We're looking for ways to keep spending money against these kinds of opportunities and against these areas. Investors, not only we as a business, but investors would actually want us continuing to spend more. This is about just honing and scaling how we do this.  Your second question on GoCentral, it is a part of the hosting and presence line. And obviously, if that's growing 40%, you, can see the overall aggregate, GoCentral from a revenue contribution is still it's small -- a small but meaningful component of that line, and it really is the big reason for the ongoing strength in that segment. So when you're looking at the growth in that segment line, think about that as coming almost all from GoCentral. And in terms of where, kind of followed the developed world. U.S. is the strongest, and then core English markets are next. That's where we're putting our shoulder, and there's a lot of runway really and just those geographies. I think that covers everything.
Operator: Your next question comes from the line of Ron Josey with JMP Securities.
Andrew Boone: This is Andrew Boone for Ron. You guys have historically talked about 1 million net adds per year on average. I understood of the color on kind of the contract issues, but is that the level that we should expect going forward that we get back at once we get through this? And then secondly, just on your Amazon partnership, really interesting can you take a step back and talk about what you look for in third-party partners?
Scott Wagner: It's Scott. So on the first one, on net adds, you look at this on a 2-year stack. A year ago, as Andrew was describing, there was 1.2 million. Ray talked about how things were going to layer throughout the year that kind of normalizes around that when 1 million number over that 2-year period of time. I think the most important point is that the underlying renewal rate at cohort basis and customer basis, not only has it changed, but it's tweaky getting better, meaning small amounts. So the fundamentals of cohort retention frankly haven't changed. And more importantly, the value of each cohorts are increasing. And honestly are in really nice shape.  I think your second question around partnerships, number one, there is our value proposition from a product and the customer job that matches the needs of our customer base. The second is that we can execute that really tight integration with fantastic CX or customer experience. If you think about what we've done with Microsoft 365, I mean, boy, that's the gold standard of really [indiscernible] a great product [Technical Difficulty] This is Scott. Currently, we had a little bit of a telecom issue through the central place, and now we are back. I think we were talking about partnerships. Basically, this is a big value proposition and tight CX. And Microsoft 365's, obviously, the gold standard of it. And what you're seeing in those other categories are the same execution.
Operator: Your next question comes from Lloyd Walmsley with Deutsche Bank.
Seth Gilbert: This is Seth on for Lloyd. Two if I may. One, to touch on the Amazon partnership, maybe ask me a little bit differently. Is there anything in the contract with your partnership them that prohibits them from competing with you down the road in any way?  And then second question, apologies if I missed it, just wondering about marketing and advertising and also G&A a little bit elevated in the quarter compared to what we're modeling. And I was just curious if there's any onetime expenses to call out or maybe something with conversational marketing. And best wishes to you and your family, Scott.
Scott Wagner: On the specifics, we're not going to get into the partnership details, but we feel good about this. We have a great value proposition. These partnerships are going to continue for a long period of time. It'll be good. On the marketing spend, Ray is going to pick it up on marketing.
Raymond Winborne: For marketing, we're so confident for our year, even if this is the lowest point in a year. Don't forget the G&A line as a litigation settlement, I think. Also it's a [indiscernible]
Operator: Next question comes from the line of Zachary Schwartzman with RBC Capital Markets.
Zachary Schwartzman: First, Scott, like what others said on the call, best wishes for a full and healthy recovery. On the net customer adds, now it's 700,000, 800,000 from the, call it, 1 million net adds that has been briefly discussed. Are some of the changes in addition that Ray referenced will -- that are layered in the back half, are they going to be more margin accretive to the bottom line, given that revenue guidance sort of wasn't picked up here, but there's a lower -- but there's lower net adds like things like ARPU should expand?
Scott Wagner: Yes, Zach. And again, these are quarter-to-quarter changes, the purpose is around managing lifetime value. And that doesn't flow on the calendar year. That's on -- if you think about it on a 12-month forward basis. And yes, we particularly focus on some of the higher value customers' ARPU, that's what you're seeing from not only our revenue performance. But again, the margin accretion that's not like a quarter-to-quarter thing, but the relationship between customers ARPU should work in the way that you described it.
Operator: There are no further questions at this time. I turn the call over to Scott Wegner.
Scott Wagner: All right. Hey, everybody. Appreciate it. And in closing, I want to say thank you, to everybody. In particular, thank you to the GoDaddy employees who are listening on the call and have been here with all of us for day in, day out for a long time. And particularly thank you to the investment community both in the sell and buy sides. Our dialogue over the past 4-plus years has been consistently both thoughtful and respectful. Good companies are always evolving as GoDaddy no doubt will, but one constant will be transparency and the view towards building a well-rounded business that delivers for customers, shareholders and employees. And thanks, everybody. I really appreciate it and good luck going forward. I know it will be a huge success. Thanks, everybody.
Operator: This concludes today's conference call. You may now disconnect.